Operator: Ladies and gentlemen, thank you for standing by. [Operator Instructions] I would now like to turn the conference over to Tahmin Clarke. Please go ahead, sir.
Tahmin Clarke: Thank you, Operator. Good afternoon, and welcome to Arlo Technologies' Second Quarter 2025 Financial Results Conference Call. Joining us from the company are Mr. Matthew McRae, CEO; and Mr. Kurtis Binder, COO and CFO. If you have not received a copy of today's release, please visit Arlo's Investor Relations website at investor.arlo.com. Before we begin the formal remarks, we advise you that today's conference call contains forward-looking statements. Forward- looking statements include statements regarding our potential future business, operating results and financial condition, including descriptions of our revenue, gross margins, operating margins, earnings per share, expenses, cash outlook, free cash flow and free cash flow margin, ARR, Rule of 40 and other KPIs, guidance for the third quarter of 2025, the long-range plan targets, the rate and timing of paid subscriber growth, the transition to a services-first business model, the commercial launch and momentum of new products and services, the timing and impact of tariffs, strategic objectives and initiatives, market expansion and future growth, partnerships with various market leaders and strategic collaborators, continued new product and service differentiation and the impact of general macroeconomic conditions on our business, operating results and financial condition. Actual results or trends could differ materially from those contemplated by these forward-looking statements. For more information, please refer to the risk factors discussed in Arlo's periodic filings with the SEC, including our annual report on Form 10-K and our most recently filed quarterly report on Form 10-Q earlier today. Any forward-looking statements that we make on this call are based on assumptions as of today, and Arlo undertakes no obligation to update these statements as a result of new information or future events. In addition, several non-GAAP financial measures will be discussed on this call. A reconciliation of the GAAP to non-GAAP measures can be found in today's press release on our Investor Relations website. At this time, I would now like to turn the call over to Matt.
Matthew Blake McRae: Thank you, Tahmin, and thank you, everyone, for joining us today on Arlo's Second Quarter 2025 Earnings Call. Arlo's performance in the quarter was nothing short of outstanding. Total revenue came in at $129 million, up year-over-year and up over $10 million sequentially. Service revenue hit $78 million, up 30% year-over-year and is now more than 60% of our total revenue, while non- GAAP service gross margin increased to a record 85%. This performance propelled non-GAAP earnings per share to $0.17, up 70% year-over-year, and GAAP earnings per share to a profit of $0.03, a massive swing from a loss of $0.12 a year ago. The growth and profitability of our subscriptions and services business continues to drive record results across the company. And you'll remember at the beginning of the year, we commented about our confidence that Arlo would be one of only a handful of SaaS companies achieving Rule of 40 performance in 2025. For those keeping score, our annual recurring revenue, or ARR, hit $316 million, which is up 34% and adjusted EBITDA rose to $18 million, up an incredible 82% and achieving an EBITDA margin of 14% for the quarter. That means our subscriptions and services business delivered a Rule of 40 score of 48 in the second quarter. Diving deeper into our retail and direct subscription business, ARR unit sales were up 30% year-over-year. To date, we continue to experience strong customer demand across the channels and recently surpassed our forecast for the important Amazon Prime Day event. Arlo added 218,000 paid subscriptions to reach 5.1 million at the end of Q2. And Verisure reported that their paid account catch-up is complete, and we expect that Verisure now has the ability to report these metrics within the quarter of deployment going forward. This visibility allows us to increase our estimated paid account range to 190,000 to 230,000 per quarter, reflecting the higher underlying performance and normal seasonality. And the launch of Arlo Secure 6, our robust AI security service platform, helped drive retail and direct subscriber monthly ARPU to over $15 in the quarter, growing our subscriber LTV to $840. This trend of ARPU expansion will continue through 2025 as the remaining pool of annual subscribers migrate to our new AI service plan structure. In addition to the acceleration of our subscription business, Arlo will be executing the largest product release in company history with more than 100 new SKUs launching throughout our channels this fall. We will be updating products across our Essential, Pro, and Ultra segments and introducing new form factors, including Panthilt Zoom designs and additional low-cost powered options. Our new camera lineup has resulted in a larger assortment and more shelf space inside of our key channel partners. This significant product launch, coupled with the aforementioned expansion of our LTV, means we are planning an aggressive holiday season, very similar to 2023, where we brought down device ASPs and generated strong growth in our services business. For both Q3 and Q4, Arlo is targeting between 20% and 30% camera unit growth year-over-year. And finally, I'm happy to announce that in June, we signed a strategic partnership with ADT, the largest security company in North America. We are working closely with them on key technology integrations, and we will provide more information closer to market launch. ADT is a significant strategic account and will provide material upside to our subscriptions and services revenue starting in 2026. As I look ahead to Q3 and the balance of the year, Arlo could not be in a stronger position despite the volatility and external headwinds buffering the macroeconomic environment. Our incredible services performance, coupled with a lower cost basis for our new product lineup, is insulating us from the tariffs, which we view as a small increase in our customer acquisition cost. And with a world-class LTV to CAC ratio and subscriber retention, we will remain focused on growing our subscription and services business, which is directly contributing to our excellent financial performance. Arlo just reported the best first half in our corporate history. We are guiding to a strong Q3. We are again reaffirming guidance for the full year, and we believe our 2025 service revenue estimate of $300 million will be closer to $310 million, while our full-year subscription and services gross margin will exceed our original estimate of 80% and land closer to 85%. In June, Arlo celebrated the achievement of our original long-range plan. We hit 5 million paid subscribers, $300 million in ARR, and over 10% operating income more than 2 years earlier than anticipated. That momentum is clearly continuing as evidenced by our results today, and we believe we are well-positioned to hit our new long-range plan of 10 million paid accounts, $700 million in ARR, and over 25% in non-GAAP operating margin early as well. And now I'll turn it over to Kurt for a more detailed review of our Q2 results and our outlook ahead.
Kurtis Joseph Binder: Thank you, Matt, and thank you, everyone, for joining us today. During the quarter, we again delivered outstanding financial results driven by our high-growth SaaS business model that we described to you on our year-end 2024 conference call. This quarter's results continue to show success in acquiring new subscriptions through our highly efficient retail channels and strategic partnerships and converting those households to paid accounts, leveraging the value proposition of our subscription services. Then we focus on increasing ARPU through the deployment of compelling service offerings, including personalized AI capabilities, which translates into expanding annual recurring revenue with high subscriptions and services gross margin. Customers continue to recognize the value of our service offerings as strong ARPU trends drove our stellar financial results during the period, most notably, another quarter of record subscriptions and services revenue. Retail ARPU in the second quarter rose to $15, accelerating 12% sequentially and 26% year-over-year to deliver $78 million in subscriptions and services revenue. This growth was driven by new customers continuing to select our premium service tiers as well as the realization of the full financial benefit in this quarter of our structured rate plans. Strong ARPU growth and customer retention, combined with our optimized LTV to CAC ratio, are the backbone of our performance in Q2 and into the future. Our subscriber base maintained its strong growth trajectory as we exited the quarter at 5.1 million paid accounts, an increase of 29% year-over-year. In Q2, we generated 218,000 new paid additions, handily exceeding our prior range of paid subscriber additions. As Matt mentioned, with strong subscriber momentum and the Verisure true-up behind us, we have increased visibility to establish a new target of 190,000 to 230,000 paid subscriber additions per quarter. Improving ARPU trends and continued strength in paid additions drove our annual recurring revenue to $316 million, up more than 34% over the same period last year. Total revenue for the second quarter of 2025 came in at $129 million, up slightly from the prior year period. Remarkably, subscriptions and services revenue comprised 60% of total revenue, up from 47% in the same period last year. Our extraordinary transformation to a subscriptions and services organization underpins our success in generating best-in-class SaaS KPIs and financial results that compare favorably with other highly regarded software and security companies. Product revenue for the period was $51.2 million, down in comparison to the prior year due principally to the decline in ASPs that has been prevalent across the entire industry. As previously discussed, we believe that prospective customers have a propensity to enter the Arlo ecosystem through a lower upfront cost of device acquisition, coupled with a competitive monthly recurring fee for ongoing services. This successful subscriber acquisition strategy has spurred our decision to further reduce our product costs in order to gain access to new households across the broader security market. Our experience is that each incremental paid account generates $840 of lifetime value with SaaS level gross margins, thereby making the trade-off more than worth it. This strategy is evident as we continue to deliver consistent point-of-sale device volume growth, a trend which is expected to continue through the remainder of the year. Our commitment to this strategy enhances our overall profitability even in a period of rising costs, tariffs, and other external factors, which are not within our control. The revenue contribution from our international operations declined as a proportion of our total revenue, primarily due to the increased level of subscriptions and services revenue, as well as seasonal stocking factors. Our international customers generated approximately $50 million in Q2, or 39% of our total revenue, down from $64 million, or 50% in the prior year period. In the EMEA region, Verisure continues to be a primary driver of our international revenue, a trend we expect to continue. From this point on, my discussion will focus on non-GAAP numbers. The reconciliation from GAAP to non-GAAP figures is detailed in our earnings release, which was distributed earlier today. Our non-GAAP subscriptions and services gross margin was 85%, a new record and up 850 basis points year-over-year. The favorable trend we are experiencing in services gross margin is attributable to expanding ARPUs driven by a larger mix of subscribers activating higher tiered service plans, coupled with a reduction in storage and other costs to serve our subscribers. Product margins declined when compared to the same period last year, related to industry-wide ASP declines as well as the depth and frequency of promotional activities. It is notable that product margins were also impacted by the introduction of tariffs in the quarter. But as we have communicated, tariffs have no impact on subscriptions and services revenue and the related profitability. We were able to expand our consolidated non- GAAP gross margins to 46%, up nearly 800 basis points year-over-year and including the impact of tariffs, which represented a gross margin headwind of approximately 100 basis points in the period. This positive outcome underscores our exceptional operational performance as well as highlights the significant impact that our substantive shift to subscription and services is having on the profitability of our business. We also expect to benefit from the broad refresh of our device portfolio in the second half of the year. We will leverage promotional campaigns in Q3 to optimize the existing inventory levels and ensure a smooth transition to our new expansive device platform. This will enable us to drive household formation even in the face of declining ASPs, tariffs, as well as the general macroeconomic environment. Total non-GAAP operating expenses for the second quarter were $41.7 million, up 6.6% from $39.1 million in the same period last year. The year-over-year increase is primarily driven by higher credit card fees associated with in-app subscription processing with an additional impact from an increase in R&D. We capitalized $2 million of software development costs to prepare for the launch of our new portfolio of products and investments made to advance the final phase of the Arlo Secure 6 platform rollout, which we expect later this year. For the second quarter, adjusted EBITDA was $18 million, an 82% increase year-over-year and a great testament to the operating leverage generated from scaling our subscription and services business. Adjusted EBITDA was not only driven by our revenue growth, but also by our disciplined focus on cost containment. Our profitability continued to be remarkable, again, generating record levels of non-GAAP net income of $19 million for the second quarter, equating to non-GAAP net income per diluted share of $0.17. Regarding our balance sheet and liquidity position, we ended the quarter with $160.4 million in available cash, cash equivalents, and short-term investments. This balance is up $16.4 million since June of 2024, even withstanding certain strategic investments and our share repurchase program. We generated a record free cash flow of $34 million during the first 6 months of the year, representing a free cash flow margin of almost 14%. Our free cash flow margin increased 350 basis points, and our free cash flow in absolute dollars was up 33% over the same period last year. Our Q2 accounts receivable balance was $61 million at quarter end, with DSOs at 43 days, down from 44 days last year. Our Q2 inventory balance was $31 million, down from $45 million last year. Inventory turns were 7.7x, up from 5.8x last year, as we focus on reducing our existing inventory to optimal levels in preparation for one of our largest product launches in history. We expect that our portfolio refresh will result in a meaningful reduction in BOM costs, thereby creating an effective tool to mitigate both the regulatory and competitive environment. Now turning to our outlook. Even with the uncertain macroeconomic environment and the rollout of the global tariffs, our business continues to generate strong financial results and remains bolstered by the scale, predictability, and profitability of our subscriptions and services business. The composition of our services revenue insulates us from macroeconomic volatility and is driving the overall profitability of the business, as evidenced by the ongoing expansion of our consolidated gross margins. We expect the benefits from new strategic partnerships will begin to materialize in our financial results later in the year, with a much greater impact to our business in 2026. Our new devices, which include a reduction in BOM costs, will be launched in Q3, enhancing our competitiveness while offsetting some of the increased tariff impact. To date, our supply chain team has done a phenomenal job optimizing our inventory levels, including inventory that sits in the channel with our retail partners. Our engineering, product and operation teams have also flawlessly executed the portfolio refresh, enabling our new essential products to ship earlier than planned. As a result of these efforts, our gross shipments for new devices in the third quarter will be higher than we originally anticipated, driving our consolidated revenue outlook to the range of $133 million to $143 million. Additionally, we expect non-GAAP net income per diluted share for Q3 to be in the range of $0.12 to $0.18. Looking at our full year 2025 outlook, based on the significant increase in paid additions and ARPU, we expect to generate subscriptions and services revenue above $310 million in 2025, growing at over 27% with non-GAAP subscriptions and services gross margin at 85%. And finally, ARR of $335 million at year-end, up over 30% when compared to the prior year period. And now I'll open it up for questions.
Operator: [Operator Instructions] Our first question comes from the line of Jacob Stephan from Lake Street.
Jacob Michael Stephan: Congrats on a great quarter here and start to the year. Maybe first, I'll ask on the ADT partnership. This is obviously big news, but maybe if you could kind of help us understand what this partnership is actually about? Is it more of a Verisure-like agreement? Or is it similar to what ADT and Nest have tried to do in a couple of years ago? Kind of help us think through this a little bit.
Matthew Blake McRae: Yes. So obviously, ADT is an important name in the security space, and they've been doing very well if you've been following them. I think you're seeing them start to innovate more than their peers, which is really exciting. And so there's not a lot I can share at this time. It is a partnership that will involve devices and service revenue. The overall structure of the deal is unique, though. So I wouldn't compare it to Verisure or any other deal. And I think you'll see us able to announce more information around the partnership either right close to the end of the year or maybe right at the beginning of the year after a major trade show or something like that. So stay tuned. It is a substantial deal. It's one of the 2 that I've been hinting at for the last couple of earnings calls, and we got it done in June. And we're really looking forward to it getting rolled out and executed in 2026.
Jacob Michael Stephan: Next, I just want to focus on the product launches. Maybe if you could help us think through the 1,000 new SKUs you plan to launch? And how does that relate to kind of the holiday season commentary where you expect 30% unit growth and overall more aggressive pricing? Can you help us think through kind of the margin pressures there and also what you're expecting for kind of the back half in revenue?
Matthew Blake McRae: Yes. So I can give you an idea around the launch. So like we said, it is the largest device launch in our company history. It's well over 100 SKUs going into multiple channels simultaneously. I will tell you, from a status, and you probably inferred that from the call, things are going great. We're green across the board from a development, and a lot of those SKUs are already in manufacturing, and some of them are already arriving here in the United States. So it's on time. You heard Kurt kind of talk about more of that shipping in Q3 than maybe our original annual plan, which is great because that gives us extra time to optimize shipping and air ship and things like that. So it's a very large product launch across multiple SKUs, like I said, over 100 SKUs. It's not just lower costs. So we do reduce the cost. If you remember, the cost will be lower from anywhere from 20% to over 30% from a COGS reduction perspective. That gives us a lot of dry powder to react to the tariffs, which primarily hit product gross margin, and the devices are imported in the United States. It gives us dry powder to actually dig a little bit deeper on promotions and make sure that we're growing the services business at the pace that we think is appropriate and will be accretive to the overall shareholder value. But in addition to that cost down, it's actually an expansion of the product line into several new categories. And that's important because not only do we get a few new SKUs that end up online, but in physical shelf, you'll see us actually capture additional shelf share in some of the most critical partners like Walmart. And that usually can lead to capture of market share as you're growing through the rest of the year through the holiday period. And then this will be our main lineup that we start the year for. So it is substantial. You'll see us getting more aggressive on ASPs, very much like we did in 2023. If you remember, we came in at the same earnings call 2 years ago and said we're going to dig a little bit deeper and see what the impact is on our services business. It was outrageously accretive to the business, and it was somewhere where we learned a lot about how far we can drive the services business. And so you're going to see us do that again and actually look at the tariff impact as a small increase in CAC, and us using some of that dry powder to also reduce price. And again, that's driving what you mentioned, which is roughly 20% to 30% camera unit growth year-over-year for both Q3 and Q4, which will then accelerate service revenue towards the year, which is why we raised our estimate for service revenue and ARR at the end of the year and will lead a little momentum going into Q1 as well.
Operator: The next question comes from the line of Scott Searle of ROTH Capital.
Scott Wallace Searle: Congrats on the quarter. Matt, maybe just quickly, in terms of net adds quarter. Can you give us a little bit of idea what channels those are coming through, direct versus some of the different retailers? I know we've got international, but kind of domestically, where you're seeing that pull-through. And I just want to get some clarification in terms of the product gross margins as we go into the third quarter, Kurt, and how we should be thinking about it. You've got tariffs that are some headwinds, but you got cost down coming in pretty hard, and you guys are going to be aggressive on that front. So how should we be thinking about that and modeling that as we go into the second half of this year? And then I had a follow-up.
Matthew Blake McRae: Okay. Yes. Scott, I'll take the first part. As far as the growth we're seeing in net adds, it was pretty much across the board. So I can't tell you that a very specific channel did a lot better than others. I think we executed extraordinarily well at Amazon and that we're actually capturing some share there. But even Best Buy and Walmart contributed as well, in addition to obviously, Verisure and our other partners. So I would tell you, and I mentioned this on the call a little bit, we are seeing general strength in the consumer across our different channel partners and seeing still healthy conversion in subscribers. So I wouldn't say there was a specific callout. We're seeing just general strength and consumers remaining very strong for us all the way through, like I mentioned, Prime Day, where we were above forecast. But that's really landing in this quarter.
Kurtis Joseph Binder: Yes, as it relates to the gross margins, obviously, we were extremely pleased with the results in our gross margins this quarter. As we mentioned, we grew our combined gross margin over 800 basis points, and we did that on the back of really our service gross margins, which tapped out about 85%. You noted the product gross margin, that actually came in what we would say in mid-teens. We were comfortable with that, especially considering that it drove the high POS volume that Matt mentioned earlier. And we expect that to continue in the second half. There'll be 2 things we're focused on. First and foremost, we're going to continue to focus on driving our services gross margin to that 85% or higher level. We'll continue to focus also on our combined gross margin to show that that is growing year-over-year and continues to in the second half. We'll do that by managing basically the ASPs for our devices and keeping that at a level where we're pushing the envelope on the POS, but doing it responsibly so we can continue to show gross margin expansion. Now there is one other dynamic that's in play, and you're probably alluding to that, and that is we do have the tariff impact. We anticipate right now that the tariffs will probably run about 300 to 400 basis points per quarter against our combined gross margin. We're pleased to say that we feel like we have a path to cover all or substantially all of those through the reduced BOM and other techniques. So we feel like we're in a good spot. And that was part of the reason why we confirmed our services gross margin of 85% for the full year, and we feel really comfortable indicating that we have an ability to grow our combined gross margins year-over-year.
Scott Wallace Searle: And Curt, if I could just follow up on, maybe competitively, have you guys done the assessment then in terms of the impact of the competition from a tariff standpoint versus where you stand? And Matt, just a lot going on, very exciting stuff, ABT certainly at the top of the list. But in terms of other strategics and other adjacencies, I'm wondering if you could give us some thoughts and priorities. I think insurance is kind of factored into that as well, in terms of Allstate. But there's also the monetizing unpaid accounts and other adjacencies that you guys have talked about. I think there's been some announcements around things like elder care. So I'm kind of wondering how all that fits in over the next couple of quarters and how you prioritize things.
Matthew Blake McRae: Yes. it's a good question. So I would tell you that there's progress on nearly all fronts. If you remember at the beginning of the year, we said that -- we were seeing a lot of momentum around strategic accounts. They do take a while to sign and get announced, but we are seeing an interest level that's higher than we've ever seen before from a partnership perspective. I balance that with focus. So ADP is obviously going to be a very large focus for us, and making sure we're executing that as a very good partner through the rest of this year, so that we have success with them next year. There's a couple more that we are spending some time on right now that are very close that will -- I can't tell you what they are today, but they're exciting opportunities for us in the strategic accounts area. And then we have been executing additional opportunities to drive additional service acquisition. You mentioned one, going after our active but unsubscribed base. And I will tell you, we are seeing success using our ad platform, where we are -- we do have ads rolled out to nonsubscribers and actually converting those over to paid accounts. Relatively small. I think it's a couple of thousand people we've already done just in the last 30 days or so. But that's an area of focus as well because as we migrate people from, obviously, unpaid active to paid subscriber, that's actually a good lift on gross margin and overall service revenue. So I would tell you, we're going to stay focused on maybe the 2 or 3 that are the most active through the rest of this year, but are just starting to do our 2026 annual operating plan. We're just kicking that off in the next couple of weeks. And I would tell you the plate is absolutely full, and it will be up to us to actually distill that down to the things that we think can be material in '26 going into '27. As far as competition, I'll just jump in and answer that as well. So from a competition perspective, on the tariff, I would tell you, I think we are at either a similar playing field or in an advantage against the competition in the marketplace. So as you know, we source a lot of our product from Vietnam. Over the last 12 to 18 months, a lot of our competitors have moved to Vietnam or moved some of their product at least to Vietnam as well. So that would be an area where we would have maybe similar tariffs. And then there are many competitors that are -- still remain in China and other areas that will actually right now at least have a higher tariff. So it's still evolving, as you know. Some of the tariffs have been announced and they're locked in as of today. Some are still in a temporary suspended execution of an older tariff until deals are done. So at this point, I don't think we're at any disadvantage, absolutely. We are typically either in line with some of our competition or actually in a better position. And I would tell you, most of our competition don't -- they do not have the same service revenue and service gross margin to pull from. So if you were a pure hardware provider and you just had a 20% or 25% tariff hit, obviously, that's a really big impact to your business. For us, like we mentioned on the call, it's a small increase in CAC. And so our propensity is to stay aggressive through the holiday period and focus on unit growth and absorb the tariff in various ways that Curt was talking about to make sure that we're growing service revenue at the rate that you're seeing today.
Operator: Our next question comes from the line of Adam Tindle of Raymond James.
Adam Tyler Tindle: I wanted to start the $15 retail ARPU was obviously an impressive and surprising number to the upside. On that, maybe one for Matt or Kurt, if you want to weigh in. With the price increases in services plans, I just want to confirm, is that now on that $15 retail ARPU in Q2 entirely reflected in the current run rate? Or is there anything incremental from here? And then secondly, as we kind of think about sort of framing this year from a services revenue growth standpoint, based on this updated guidance, you're going to be growing close to 30% year-over-year. Of that, I mean, is there a way for us to just kind of think about how much contribution for that 30% was related to price increases, just so we don't get ahead of ourselves as we think about 2026 where that may not repeat?
Matthew Blake McRae: Yes. Adam, it's good to talk to you. I'll tackle the first. So as you remember, we announced the new plan structures in January for new subscribers and then migrated our existing customer base through the course of February. So when you look at Q1, I would say roughly on average, it was just over 50% of the quarter was impacted by the Arlo Secure 6 plan structure rollout. Q2 is the first quarter where we had a full quarter's impact, and that's why you see the ARPU jump all the way up to $15. Now you asked, are we going to continue to see a rise? You will -- it will be slower. So the rest of the year, we'll see ARPU increase as well, and that will be mostly people who are on annual plans coming up for their planned renewal onto the new pricing structure. So we had a good increase in Q1, a full impact in Q2. You'll see a bit more rise up in Q3 and Q4 and probably actually a little bit Q1, too, as we see some of the annual plans in Q1 actually kick over in 2026. So a larger jump this quarter, but you'll see that kind of generally rise at a slower rate through the next 3 quarters.
Kurtis Joseph Binder: Yes. And then in terms of impact, so we look at impact really through 3 lenses. Obviously, you highlighted price. We also look at the overall mix and then, of course, sub adds. And as we highlighted in the earlier commentary, we not only have executed extremely well on the price equation, but most recently, we uplifted our overall quarterly estimates on the number of sub adds, growing that to 190,000 to a range of 230,000. Right now, if I had to look at the split, it's probably 1/3, 1/3, 1/3 across all of those areas. I would say that our team, in particular, our subscription and customer journey team has been executing extremely well and identifying ways to really tweak and improve all the key metrics, whether it's subscriber retention, whether it's the conversion rate, you name it, to ensure that we're hitting on all cylinders and growing all 3 of those key areas. So as we look forward to the future, really, our key objective is to continue to grow our services revenue plus 20% out into the future. And that's what we're all motivated and incentivized to do here as part of the management team.
Adam Tyler Tindle: Yes, makes sense. I think investors will appreciate that. Just as a follow-up, kind of mechanical on the product side. I just want to understand kind of 2 different dynamics that are going to happen here. over the coming quarters. On one hand, with your existing inventory, you are working to effectively take down channel inventory, which makes a ton of sense before a huge launch. We want to have sort of a clean channel. I wonder that, and kind of thinking about the financial implications and the potential headwind from that, if you could help us sort of frame that piece. And then the second part is the tailwind then from the launch. Obviously, a massive launch that you have, the impact to sell-in on -- from a product standpoint, kind of those 2 different dynamics, if you could sort of help us frame the financial implications and timing of each, that would be helpful.
Kurtis Joseph Binder: Yes. So I would say that, obviously, the third quarter is a big quarter for us. As we mentioned, it's going to be an important quarter because we have -- we are highly incentivized to ship in, and our gross ship will be higher than we had originally anticipated. That means, ultimately, we believe that the product revenue will be a bit higher in Q3 as we load in, in preparation for all the promotional activities. It really starts towards the end of Q3 and continues into the fourth quarter. Why it's tricky is you have a combination of things that are in play here. First and foremost, as you mentioned, we have a subset of SKUs that we have to EOL, end of life is what that means. And so we have been working on bringing that down. That has been partially reflected in our current product gross margins and will be reflected somewhat in Q3 product gross margin. So that's the first dynamic that's in play. The second dynamic that's in play is we are balancing out the impacts of the tariff and also our ability to manage shipments through air freight and sea freight. And so we're doing everything possible to manage that profitability such that we optimize that and ensure we don't gap out. And then the third thing that's at play is we know that our new product SKUs all have really a benefit of 20% to 35% on the COGS level. So the sooner that we ship those in and get them to retailers, the better we can use that favorable costing to offset some of these other costs in play. So that's the dynamic that we're executing against in the third quarter. But I have to reiterate, we've been extremely impressed with our product engineering ops team and the way they've executed flawlessly to date, and we expect to have a really strong third quarter as evidenced by our guidance.
Operator: Our next question comes from the line of Hamed Khorsand of BWS Financial.
Hamed Khorsand: So the first question is, is the sub adds a function of selling more units? Or is it the conversion rate? The sub adds mean that you raised guidance range now?
Matthew Blake McRae: Yes. It's, I would say, more to do with more units across multiple channels, so both partner and in particular, recently, as we've gotten more aggressive and we talked about the camera unit growth on our retail and direct. So I would say it's much more attributable to that. And that's us executing well, being a little bit more aggressive on promotions and driving that business because it's so accretive on the service revenue level. There is a little bit here and there on conversion, and some of it is better in retention as well, but I would put most of it just to us capturing some share in the retail direct and some strong performance with our partners.
Hamed Khorsand: And then you've been talking a lot about Q3 new product shipments happening in the channel. Does that imply that we could see service -- subscriber numbers actually increase quite a bit in Q4?
Matthew Blake McRae: Yes. The holiday period is usually a little more smooth out. And what I mean by that is some of the product we will grow ship in Q3. POS is typically in Q4. And in the Q4, we often see that some of that POS is actually bought, installed, and then goes through their 30-day trial, and then may subscribe in Q4. Some of that is actually bought stuck under a tree, isn't open for 3, 4 weeks. Then there's a 30-day trial, and maybe they actually become a potential subscriber in Q1. So it's a little bit more gross ship in Q3 becomes POS in Q4. And then there's kind of a split of where those subscribers will land depending on what it was bought for, and when it was opened, and when it was installed, and how they got through the free trial. But I think in general, obviously, more POS, more units shipped, is more household formation will drive additional service revenue. And it's one of the reasons why we took our service revenue from roughly 300 up to $310 million, is we think there will be a little bit of additional services hitting in Q4 than originally planned.
Operator: Our next question comes from the line of Rian Bisson of Craig-Hallum.
Rian Bisson: Kurt, it's Ryan on for Tony Stoss. Just one quick one for me. It looks like from the slides you guys posted that the churn was about 1% monthly churn. And I think historically, you had talked about 1.1% to 1.3%. I mean I understand that it fluctuates a bit, but should we be thinking about churn closer to 1% moving forward?
Matthew Blake McRae: Yes. I would tell you that I think we're holding our range of 1.1% to 1.3%, but Kurt just alluded that there is a lot of work being done on retention, save journeys, and things in the company that are -- it is having some impact. And so I think you're seeing some of that impact at 1%. I think we're still comfortable with the 1.1% to 1.3% just because of overall seasonality, and we're seeing units kind of grow quite quick. But you are getting a hint of some of the operational improvements that the company is doing and the individual team members are doing here that we're seeing some benefit through. And I think the stars aligned a little bit and got us closer to 1% on the quarter. As you know, things like conversion and retention rate or churn, say it another way, small changes can have a big impact on the business and the service revenue and profitability going forward. So there are a series of tiger teams inside the company, looking at entcent changes over time, and several of those kind of hit all at the same time in Q2.
Operator: There seem to be no questions at this time. So this will conclude today's conference call. You may now disconnect your lines.